Operator: Good afternoon, ladies and gentlemen, and welcome to the TechPrecision Corporation Fiscal 2023 Second Quarter Financial Results Conference Call. At this time, all participants have been placed on a listen-only mode and we will open the floor for your questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Brett Maas. Sir, the floor is yours.
Brett Maas: Thank you. On the call today is Alex Shen, Chief Executive Officer; and Tom Sammons, Chief Financial Officer. Before we begin, I'd like to remind our listeners that management's remarks may contain forward-looking statements, which are subject to risks and uncertainties and management may make additional forward-looking statements in response to your questions. Therefore, the Company claims the protection of the Safe Harbor for forward-looking statements as contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those discussed today and therefore we refer to you a more detailed discussion of the risks and uncertainties in the Company's financial filings with SEC. In addition, projections as to the Company's future performance represents management's estimates as of today, November 17, 2022. TechPrecision assumes no obligation to revise or update these forward-looking statements. With that out of the way, I'd like to turn the call over to Alex Shen, Chief Executive Officer to provide opening remarks. Alex?
Alexander Shen: Thank you, Brett. Good afternoon to everyone. Thank you for joining us. The second quarter of fiscal year 2023 was another strong quarter for our Ranor subsidiary. Ranor operating results improved across the board when compared to the second quarter of fiscal year 2022 with higher revenue and improved gross margins. Ranor's gross profit was $2.0 million compared to $733,000 year-over-year. The Stadco subsidiary is a turnaround. With the addition of Stadco, we recognized additional revenue, but also absorbed additional costs. These additional costs dampened our gross margins and added to our selling, general and administrative expense and interest expense. We remain highly focused on cash management through control of expenses, control of capital expenditures, customer advances, progress billings and final invoicing at shipment. Business prospects remain strong. Our backlog was $49.4 million at September 30, 2022, an increase of $23 million since September 30, 2021, the first quarter that included Stadco backlog. I would like to now turn the call over to our CFO, Tom Sammons, to continue with the review of our fiscal year 2023 second quarter and six-month results. Tom?
Thomas Sammons: Thank you, Alex. Net sales for the second quarter of fiscal year 2023 were $8.5 million or 78% higher when compared to the same quarter a year-ago as we added a full quarter of Stadco revenue and realized increased revenue of Ranor. We recorded an increase in revenue in our defense markets, which more than offset a decrease in precision industrial revenue. Our defense backlog remains very strong as new orders captured within the quarter and after the quarter are primarily from our defense customers. Cost of sales were $6.8 million or $2.9 million higher than the prior year period, due primarily to the addition of a full quarter of Stadco cost of sales. Gross profit was $1.7 million or $809,000 higher when compared to the same quarter year-ago. Gross profit was higher because of higher revenue and stronger operational throughput at Ranor and improved factory overhead absorption. SG&A expense increased by $653,000 primarily due to the addition of Stadco SG&A and increased spending for outside advisory services related to the Stadco acquisition. We recorded an operating loss of $87,000 compared to an operating loss of $243,000 in the same prior year period. Interest expense increased to $84,000 from $57,000 in the same prior year quarter as we added new debt to the balance sheet on August [25], 2021 as part of the acquisition of Stadco and increased our borrowings under our revolver loan. We recorded a net income of $391,000 in fiscal 2023 second quarter compared to a net loss of $220,000 in the same period a year-ago. Fiscal 2023 second quarter included an accrual of $624,000 for refundable employee retention tax credits under the CARES Act. Net sales for the six months ended September 30, 2022 was $15.6 million compared to $8.2 million in the same period a year-ago, an increase of $7.4 million due to an additional $4.7 million of revenue from our Stadco segment, coupled with a Ranor sales increase of $2.7 million. Our cost of sales for the six months ended September 30, 2022 were $6.6 million higher due primarily to the inclusion of Stadco business for the full six months compared to approximately one-month in the same period a year-ago. Gross profit increased by $794,000 or 45% higher on a strong operating period of Ranor. Weak operating results of Stadco due to certain unprofitable projects and low production levels dampen consolidated gross margin. SG&A expense for the six months ended September 30, 2022, increased by $1.3 million primarily on the inclusion of the Stadco for the full reporting period and increased spending on outside advisory services due primarily to the acquisition. As a result of the foregoing, including the integration and reduced profitability at Stadco, we recorded an operating loss of $640,000 compared to an operating loss of $143,000 for the prior year. Interest expense was $167,000 for the six months ended September 30, 2022 compared to $87,000 during the same prior year period due to the borrowings under the Stadco term loan and the higher usage of the revolver. We recorded a net loss of $110,000 for the six months ended September 30, 2022, compared to net income of $1.2 million for the same period a year-ago. The prior year period included a one-time gain of $1.3 million from loan forgiveness under the Paycheck Protection Program. Moving on to the cash flows and balance sheet. We realized a cash inflow from operating activities of $1.6 million and used $1.1 million for capital expenditures. Our total debt was $6 million at September 30, 2022 compared to $7.4 million at the end of March 31, 2022 as period ending borrowings under our revolver loan were lower by $1 million. Cash balance at September 30, 2022 was $235,000 compared to $1.1 million at March 31, 2022. Working capital was $3.3 million at September 30, 2022 compared to $2.8 million at March 31, 2022. With that, I will now turn the call back over to Alex. Alex?
Alexander Shen: Tom, thank you. TechPrecision is proud and honored to serve the United States defense industry, specifically naval submarine manufacturing through its Ranor subsidiary and military aircraft manufacturing through its Stadco subsidiary. We aim to secure and maintain an enduring long-term partnership with our customers. Overall, in both the Ranor and the Stadco subsidiaries, we continue to see meaningful opportunities in our defense sector as evidenced by the strength of our backlog. We are encouraged by the prospects. Today, I would like to share some information on the defense industry sector that we serve, specifically naval submarine manufacturing of the Columbia Class submarine. I am quoting from publicly available information. The District of Columbia is the name of the first ship in the new class of ballistic missile submarines being built for the U.S. Navy by Electric Boat. The Columbia class will replace the 14 Ohio class submarines due to begin to retire from service in 2027. Each class is named for the first ship in the series. Design of the District of Columbia began in 2007, when the Navy approached Electric Boat to assist in the conceptual design of a replacement for the aging Ohio class. This aging Ohio class entered service in the early 1980s. The Columbia class of 12 ships will carry 16 missiles each, which in total will represent approximately 70% of the country's nuclear arsenal. Submarines are the stealthiest and most survivable of the nation's nuclear triad of land, air, and sea-based nuclear weapons at a length of 560-feet and displacing 20,810 tons. The District of Columbia will be the largest submarine ever built by the United States of America. Its reactor will not require refueling during the lifetime of planned service, making the ship more cost effective to operate and maximizing its time on deployment. In addition to its compliment of missiles, the submarine will be armed with Mark 48 torpedoes and will feature superior acoustic performance and state-of-the-art sensors to make it the most capable and quiet submarine ever built. The District of Columbia is designed for modular construction. Construction is underway with the support of more than 3,000 suppliers from around the country. Outfitted hull modules will be barged to the Electric Boat shipyard in Groton, Connecticut, where they will be assembled into a complete hull, fully equipped and tested prior to delivery to the Navy. Electric Boat is constructing a 200,000 square foot assembly building for the project, which will be operational in time for the first module's arrival in 2023. The building is part of a $1.8 billion investment General Dynamics is making to grow its submarine design and manufacturing infrastructure. Construction of the lead ship is presently more than 20% complete. The District of Columbia is the latest and a continuing relationship between Electric Boat and the country's ballistic missile fleet, the first ballistic missile submarine, USS George Washington was designed and built by Electric Boat and delivered in 1959. This was followed by the design and construction of the lead ships in the Ethan Allen and the Lafayette and the Benjamin Franklin classes. All 18 boats of the Ohio class were designed by Electric Boat and built at its facilities in Quonset Point and Groton. The District of Columbia is scheduled for delivery in 2027 and expected to begin its first deployment in 2030. The Columbia class of submarines is expected to have a service life into the 2080s”. Finally, a reminder again that we do most of our work in industries that are highly sensitive to confidentiality, which preclude us from speaking publicly about many things that a company not operating in these fields might discuss. As such, there are real limits as to what I can discuss and sometimes those limits change. Please understand that my saying, I am not allowed to discuss that is based on customer requirements and the environment in which we conduct business. Additionally, before we open up for questions, the Board has asked me to read the following. The company is working on an application to have its common stock listed on the NASDAQ stock market. As the stock exchange processes our application, the Board will determine whether we need to utilize the authority granted to us by the stockholders to effect a reverse split of our stock and the timing thereof. Thank you for your continued support from the Board. Operator, we're ready for Q&A. Please open the line.
Operator: Absolutely. Thank you. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] And the first question is coming from Ross Taylor with ARS Investment Partners. Please proceed.
Ross Taylor: Thank you. First, congratulations, Alex, and the whole team on being named BAE Systems 2022 VPM supplier of the year for a company your size. That's quite an accomplishment, and I think it should be recognized. Second, away from that, you mentioned the idea that you added California, you have some unprofitable projects. Could you talk about the magnitude of those? And are these unprofitable projects that are basically early in life, and therefore, we would expect to see them gain profitability? Or are they isolated projects from the major programs that you're working on there.
Alexander Shen: Let me take a stab at this, and then I'll ask Tom to take a stab at answering that question to me, it's a mix.
Thomas Sammons: That's exactly what I was going to say. You have a combination of a variety of factors with the jobs.
Ross Taylor: Okay. Good. So therefore, part of the process is you guys working things up and kind of putting the TechPrecision Ranor stamp on Stadco, we should expect to see the margins in that business move higher as you guys get kind of more of your efforts and your expertise worked into what they're already doing, which is – has been pretty good historically?
Alexander Shen: I agree. We will be concentrating on that. But also I would remind all of us that our number one, number two, number three priority is on shepherding cash.
Ross Taylor: Yes, you've made that clear. Looking at as we see things here, what kind of revenue breakdown did we see between Stadco and Ranor last quarter?
Thomas Sammons: Last quarter?
Ross Taylor: The quarter you just reported, yes. There's no – it's a non-timely queue, I think this information was available last time by the time we had the call, but it's not available currently.
Thomas Sammons: It’s in the press release, the Ranor revenue for the quarter was $4.9 million, Stadco was $3.6 million.
Ross Taylor: Okay. And we're coming up here fairly quickly. The Navy Marines have talked about needing to decide when they're going to go effectively full production rate on the CH-53K. In the past, the company or people with Stadco have commented on what that is on a revenue per airframe basis, and it's pretty significant relative to what you're currently operating as a run rate. The Stadco backlog is also pretty significant compared to what you're running on a quarterly run rate. So looking at this, the question would be, if the [Navy/Marine Corps] decides to go to 20 to 24 airplanes per year, roughly two a month for the CH-53K would that impose any difficulties in you guys meeting that demand? And secondarily, would that increased run rate, which would probably generate on a monthly basis, revenues close to what you're generating on a quarterly basis in that business go a long way to helping alleviate the unused overhead or allocating the overhead over a broader basis?
Alexander Shen: So that was, again, a world-famous Ross Taylor combination question that we need to cut up in the pieces and answer carefully, correct?
Ross Taylor: Yes. Yes. It's the way my mind worked, Alex, I'm sorry.
Alexander Shen: That's okay. That’s all. So I think the – in general, to answer your question properly, it's a really question of timing. And this timing involves a number of different things, which really breaks down the what-if into several what-ifs that are all related to timing. So what if the 20 to 24 number comes true, it's a question of timing when it's going to come true and how it's going to come true. Yes.
Ross Taylor: If we – if I suppose that we're going to be at 20 to 24 airframes a year run rate by federal fiscal year 2024, currently, we're in fiscal 2023 for the Feds, would that pose any difficulty in you meeting that? And would that be a significantly positive economic event for the company?
Alexander Shen: The answer to the first question is, unfortunately, I'm not going to be able to talk about that part. I'm sorry. That's I just...
Ross Taylor: …stands every three months?
Alexander Shen: That part of it, I really cannot provide anything.
Ross Taylor: Okay. The second part of it?
Alexander Shen: Well, the second part of it, if it were to happen, that would be great. We are encouraged by our prospects. We're encouraged by our backlog. There is nothing discouraging about any of it.
Ross Taylor: Okay. And you've done an excellent job getting Ranor's operating margins up. Is it realistic to assume that over time, Stadco can move into that same neighborhood, not necessarily the same numbers, but the same neighborhood?
Alexander Shen: I think it's realistic to assume that we want that.
Ross Taylor: Yes. Okay. And you had an increase in SG&A. You cited it was both kind of full Stadco, but also one-time cost. What kind of quarterly run rate SG&A should we be expecting you guys to do going forward?
Alexander Shen: I think it's – well, let me parse this into a two-part answer. Let me answer first, Tom. So I think it's premature to figure that out yet because our efforts are really not so much concentrated on run rate and margins, but we need to focus on cash, number one, number two and number three. But I'm not trying to delay the inevitable, but the focus – we need to rebuild and get stronger and Stadco is still a turnaround. So that's kind of my side of the answer operationally and from the sales side and rebuilding customer confidence. I can't answer the question yet. We want to answer the question. But Tom, how about from your side?
Thomas Sammons: I would just say, first of all, I don't want to forecast at this point, but there are one-time costs that will go away, and then there's going to be costs that are going to be inherent in running two businesses. So I do expect SG&A to start coming down. I wouldn't say to what exact level.
Ross Taylor: Okay. But we should start to see that number decline. And going forward, we can then ask you whether they should continue to decline and figure out what the base level is.
Thomas Sammons: Yes. It used to be our base level was – I mean, when it was just Ranor, base level was pretty constant. It's fairly easy to look ahead. So I think we'll get to that point again.
Ross Taylor: Yes.
Thomas Sammons: On the combined business, our SG&A will be pretty consistent.
Alexander Shen: Sorry, let me take the microphone back for just a second. So we are still in a rebuilding stage. This is a good conversation and discussion. We are still in a rebuilding stage. We are expending cash into places for CapEx expenditures. So we racked up $1.1 million. This is mostly directed towards rebuilding capacity as well as enhancing current capacity.
Ross Taylor: You've jumped into that question.
Alexander Shen: Right, right. So that part of it, on the rebuilding part of it, once we get these things more under our belt, we can better understand what and get closer to answering that question on what the run rate should look like.
Ross Taylor: Of that $1.1 million in CapEx in the last quarter, roughly how much of that was allocated towards Stadco versus Ranor?
Alexander Shen: More than half.
Ross Taylor: The Stadco?
Alexander Shen: Correct.
Ross Taylor: Okay. And backlog since the end of the quarter, has it had any noticeable increase?
Thomas Sammons: The backlog since the end of September 30?
Ross Taylor: Yes.
Thomas Sammons: I wouldn't say a significant – I have not really looked at it too much.
Alexander Shen: Has there been a significant increase? No.
Ross Taylor: Okay. And as part of that problem, the fact that we're operating under a CR in Congress yet again?
Alexander Shen: No.
Ross Taylor: Okay. Lastly...
Alexander Shen: I can't tell what the – first of all, let me characterize the question. I don't know that there's a problem. I don't see a problem.
Ross Taylor: I'm just looking at the idea of is the fact that you're operating Congress – that Congress has DoD operating under a CR. And hearing a lot of this from major players in the space that they're talking about the fact that they're struggling to get new orders and new programs and things launched because of the fact that the CR restricts meaningfully the ability to go – to enter into new business lines or get new programs kind of kicked off, which is why it's so important to see Congress pass a defense appropriation bill before the end of the year rather than run the risk that we go into the first part of the new year and end up having a new Congress play its version of politics on it. So I'm asking really more because you're not so much your peers, but the primes have been citing this as an area of concern and impact.
Alexander Shen: Okay.
Ross Taylor: Okay. Now lastly, with this, the Navy has talked about the idea of going away from letting out like one contract – or one boat contracts for the Columbia class or two boat contracts for Virginia to going to block by five boats or more. Can you talk about how that would impact you guys impact margins, impact the revenue stream, operating efficiency and things of that nature?
Alexander Shen: I'm sorry, Ross, I can't talk about that one.
Ross Taylor: Okay. Is it safe to assume that the more boats the Navy buys at any given time, the more efficient it would be for you to produce those boats and to buy and build out and to use your workforce?
Alexander Shen: Well, I think it's safe to assume that we have to build everything by hand one at a time. So the efficiencies of getting orders of more than one, but having to build things one at a time, probably doesn't equate. We still have to build them one at a time.
Thomas Sammons: Yes, I'd say for some components, we like getting multiple orders and…
Alexander Shen: We like getting multiple orders just because there's more orders, but I can't build them...
Thomas Sammons: Other components, we might prefer to have just one instead of – it's a new component.
Alexander Shen: Yes, I know, but that's not his question. His question is if we get orders of multiples, does that make us build faster or more efficiently or more anything. It doesn't change. We still have to build things one by one. One at a time.
Ross Taylor: You build them one by one, but you can basically order and backlog your parts and have a better understanding of your revenue stream and your – and the tempo at which you need to build things. You don't find – you wouldn't find you're in the end of the year and waiting for Congress to pass a budget or something of that nature. So...
Alexander Shen: But again, it depends. I think the details will – the deviled in the details. More is better, absolutely. We can all agree on that.
Ross Taylor: Yes. Okay. And for a moment there, I felt like I was at Thanksgiving dinner early, so, hey, I'll pass it on to the next person.
Alexander Shen: Thank you.
Thomas Sammons: Thank you, Ross.
Operator: [Operator Instructions] Okay. We have a question coming from [Rob Strauss, Private Investor]. Please proceed.
Unidentified Analyst: Hi, Alex and Tom. Can you hear me?
Alexander Shen: Yes.
Unidentified Analyst: Good. Nice job on the quarter. Things seem to be turning around as we would expect. A couple of questions, first one for Tom, regarding the balance sheet and the renewal of the loans, what additional color can you add to that process?
Thomas Sammons: Well, the loans right now, the term loan matures in December, and we're working with the bank on a renewal.
Unidentified Analyst: Do you think that that renewal will be for multiple years? Is there anything that you could tell us about not your expectations, but how you're looking to finance this company?
Thomas Sammons: Well, it was a five-year term loan, and we're looking at the same.
Unidentified Analyst: Okay. Alex, Stadco, we all know, is located in California. I'd like to know whether you or Tom or maybe other individuals at Ranor are heading out there. But more importantly, not so much to comment on how often Alex, you are out there and the frequency of that, but maybe a more general comment about your team. Our team members from Ranor going back and forth. Have we deposited maybe for a time period, some talent from Ranor to stay at Stadco. Maybe you could add some color to that?
Alexander Shen: I'm engaging where I see fit. I think my track record speaks for itself.
Unidentified Analyst: Yes. I think that, that's right. What I was asking is, does Stadco require, I guess, incremental talent that we have at Ranor to go out there for whatever various reasons. I'm not asking for specific reasons. But is there the transfer of that talent? And is that talent actually – is it necessary for that talent to win there?
Alexander Shen: So we already explained that Ranor is submarine centric, even though we're in the same defense industry and that Stadco is military aircraft centric, the two don't usually play together much being one in the air and one at sea. So what we tend to work on is the common stuff. So I am the CEO of TechPrecision, and I need to find the commonalities. I'm not trying to not answer your question, but I'm just trying to point out the logic. Am I transferring people from Ranor to Stadco, I wouldn't be able to tell you that. That's not something I can comment on right now. So I'm trying to answer the question so you can get the answer on a different way. One plays in the air and one plays in the sea. So they don't usually play together. So hopefully, that the answer can be inferred from that comment.
Unidentified Analyst: Right. Understood. And I was thinking more along the lines of efficiency or plant or whatever other talent and capabilities and expertise that Ranor has that could be helpful to Stadco. Nevertheless, moving on. As it relates to capital expenditures, I think that in this industry as well as others, often equipment could last for many, many years, often decades. When we think about our capital expenditures going forward, is there any level of color that you could give us to a degree that we have a better understanding of the status of those two plants. And I'm not – again, I'm not looking for specifics, but do we need equipment? Do we need to replace equipment? Is that more necessary or immediate at Stadco versus Ranor? Is there any kind of detail that you could give us to understand where investment dollars might go as it relates to CapEx and now are two different businesses?
Alexander Shen: So the CapEx – what I can tell you is the CapEx dollars are directed to either enhance currently available capability or rebuild currently available capability. That's where we concentrate our CapEx on. Other than that, it's going to get very super specific, which I'm not going to be able to talk about.
Unidentified Analyst: Yes, nor did I expect you to. So then just one follow-up question as it relates to something Ross asked about which was big picture referring to order flow. So if we – what you said very clearly was that regardless of that order flow, we still need to build everything one at a time, and that makes a lot of sense. The question that I have for you is that if you were able to build five or 10 items collectively together versus one or two items, I was under the impression that, that's where we do, in fact, realize some efficiencies. Am I ballparking thinking that correctly or kind of set me straight on that?
Alexander Shen: Let me set you straight on that then. The humans that we have building things one at a time, they can only build one of them at a time. They don't have two sets of hands or five steps of hands to build five at a time or two at a time. They can only build one at a time.
Unidentified Analyst: When you build something one at a time, but you have, let's say, five or 10 items for that specific build lined up behind it, does machinery need to be adjusted, if you built one item on a machine, and then you had another order and you built a completely different type of item. Does that machine generically speaking, need to be adjusted to build the next item coming through versus building five of the same ones?
Alexander Shen: We don't – excuse me for just pointing something out here, Rob. I'm a master operator. So I probably understand about efficiencies that we lose by going to one job to a different kind of job. But you were talking about can we build multiples at the same time, we build one at a time. That's my point.
Unidentified Analyst: Right. I understand that. I think I was asking something else. Anyhow, I will let someone else ask some questions. Thank you very much.
Alexander Shen: Thank you.
Thomas Sammons: Thank you.
Operator: Okay. We have a follow-up question coming from Ross Taylor with ARS Investment Partners. Please proceed.
Ross Taylor: Yes. Just a couple of things, gentlemen. One is, if you're looking at the Stadco turnaround, how much of that turnaround is cultural, how much of it is building out the team and how much of it is equipment and capability – hardware capabilities and the like?
Alexander Shen: I think on the 80-20, it's more the 80% people and 20% other in general. It's more than half.
Ross Taylor: Okay. And when you look at where you stand in this turnaround at this process, being from Seattle, I don't usually use baseball analogies because we've never been very good at it. But let’s use one, what inning – since we had a good – we actually won this year. So let's go to what innings do you see the company in on that turnaround? Are you early stages? You've been working on it for a while. Do you think that you're kind of in the middle innings here, where you are starting to see and you expect to see an accelerated level of traction on your efforts and the like going forward? How do you see this playing out?
Alexander Shen: What inning are we in, Tom? Are we still in pre-game, pre-season?
Thomas Sammons: I don't know. If you say middle innings and you start, but what does that run? Three to six, three to seven?
Alexander Shen: How many innings are there?
Thomas Sammons: Well, we could go into over time, and we could play extra earnings because…
Ross Taylor: Yes. 17. But don't worry they ask those who win. So looking at it, that's...
Alexander Shen: Ross, I think it's still up in the air. I think we have more work to do to be able to answer that correctly. We want to answer that as soon as possible. We're not dragging our feet. There's a much heightened sense of urgency now that we have two to manage.
Thomas Sammons: Well, no one wants to see improvement in the business more than us at this point.
Alexander Shen: That's absolutely right. He's got his hands on my throat, Ross.
Ross Taylor: Yes. Well he – better him than me. Is there anything that – when you look at this turnaround process, is there anything about it that – I mean you are a turnaround expert and you've done that successfully everywhere you've been. Is there any reason why you look at this and you say, this is going to be a tougher job than anything else I've done?
Alexander Shen: You're right. Thank you for pointing out the fact that I have an unbroken string of turnaround success. I wouldn't have taken this on if I thought we were going to fail. And it's harder – I think in some ways, it's harder. And as it – in some ways, we are also finding some great wonderful things. So I'm not really surprised. There's not many surprises. It's hard work. It's good work. [It did] recovered because the marine – this is the marine heavy lift chopper that they're counting on. Failure is not an option.
Ross Taylor: Correct. Very much yes. Okay. Well, I think that, as I said, I look at this and see that I made a comment last quarter, it looks to me like you've kind of crossed the Rubicon and strikes me as you – everything that I thought then is coming to fruition as well or better than I would have expected or hoped it would. I think this transaction is going to be a huge winner for shareholders. And I think it's – great to see you guys continuing to – and quiet honestly hearing you – I can hear the confidence when you speak. So I understand I'm very confident that you've got this mastered. It's going to take time and effort, but you'll get it. Lastly, you commented about the Board will look and decide whether or not they need to do a reverse split. Coming out of the hedge fund world for much of my life, I would argue that you want the stock to be over $5 a share with a cushion so that you open up a wider range of new potential investors who like to be able to leverage their assets. I'd just tossed that into the mix that if we have that as a consideration when you're doing it, whatever the price is when you get to it, I would leave it publicly traded over $5 a share, $6 or more dollars a share because I think that would help attract a lot of investors who right now won't play in the stock for a number of reasons, but would if they had the ability to do so.
Alexander Shen: Okay. Thank you.
Ross Taylor: Okay. And I'll leave it back to if anyone else wants to follow-up. Thank you.
Thomas Sammons: Thank you.
Alexander Shen: Thanks, Ross.
Ross Taylor: Take care, gentlemen.
Operator: [Operator Instructions] Okay. We have a question coming from Richard Greulich with REG Capital. Please proceed.
Richard Greulich: Good evening. Just wanted to reiterate Ross' last comment regarding the reversal. I think really, regardless of what the exchange requires, getting the stock over $5 on the reversal would be really advantageous in terms of people being able to purchase the stock. So that's all. Thank you.
Alexander Shen: Thank you, Rich.
Thomas Sammons: Thank you.
Operator: Okay. The next question is coming from [Greg Slater, Private Investor]. Greg, your line is live.
Unidentified Analyst: Yes. My question is kind of simple since you've been at this for 10-plus years. I'm just wondering when you think the TechPrecision turnaround will be complete?
Alexander Shen: Well, he said, TechPrecision turnaround.
Thomas Sammons: He's talking about the company, obviously, but...
Unidentified Analyst: Yes. Since we haven't made any money for endless years, I'm just wondering when it'll finally be complete.
Alexander Shen: Tom, I'm a little…
Thomas Sammons: He wants to know when we're going to start making money again.
Alexander Shen: So we have made money.
Thomas Sammons: We have made money for a number of years then after 2015, 2016.
Alexander Shen: Are you talking about the Stadco turnaround?
Unidentified Analyst: The company as a whole, I mean you seem to be – we seem to be living in the world of plus $0.01, minus $0.01 every quarter. And I'm just wondering when that's going to be more solidified. We wouldn’t need a reverse split if we made $0.03 a quarter, you’d be over $5. So I'm just wondering when that – when the vision is going to be realized?
Thomas Sammons: I can't answer that question.
Operator: [Operator Instructions] Okay. I'd like to turn the floor back to management for any closing remarks.
Alexander Shen: Thank you, everyone. Have a good day.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.